Operator: Good day, ladies and gentlemen, welcome to Nano Dimension's 2024 Financial Results and Shares 2025 Strategic Outlook Call. My name is Rocco, and I'm your operator for today's event. On the call with us today are Ofir Baharav, Chief Executive Officer; Assaf Zipori, Chief Financial Officer; and Julien Lederman, Chief Business Officer. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements and the Safe Harbor statement outlined in today's earnings press release also pertains to statements made on this call. If you have not received a copy of the press, please view it in the Investor Relations section of the company's website. A replay of today's call will also be available under Investor Relations section of the company's website. Please also note, today's call will be recorded. Julien will begin the call with a business update, followed by a question-and-answer session at which time the management team will answer questions. Please also note today's conference is being recorded. I would now like to turn the call over to Nano Dimension's CEO, Ofir Lederman [ph]. Please go ahead.
Ofir Baharav: Good morning, and good afternoon. Thank you for joining Nano Dimension's 2024 financial results and 2025 outlook call. Please allow me to set the stage for today's presentation. We'll review our 2024 milestones and results, discuss the focus and transformation created by the recently appointed Board and leadership team. We know there is strong interest in our recent acquisitions and buyback plan, and we're ready to dive in. Joining me today are Julien Lederman, our Chief Business Officer; and Assaf Zipori, our new Chief Financial Officer. Julien has been with Nano for over four years and served as Interim CEO from December to April. He's been central to our transformation efforts and will continue leading Investors Relations. Assaf joins us from Markforged, where he was CFO. He brings deep financial and domain expertise and strengthens our ability to make decisive decisions. Together, we, along with other executives from all companies are committed to disciplined execution and long-term value creation. We are a leader in digital manufacturing. We partner with industry leaders in the design to manufacturing of high-performance, high-value parts. We are changing the way the world designs and manufactures these parts, enabling superior parts, parts with greater complexity without adding costs at the point of consumption and often with unprecedented mechanical properties, such as the magic of reducing a parts' weight while increasing its strength. Innovating at the intersection of software, machine learning, material science and hardware. We are able to create superior parts magic and unlock significant parts value and drive shareholder returns. To create superior parts, we're reinventing manufacturing solutions. Our unwavering vision is on producing high-value, high-performance components with significant growth potential, and we are well capitalized to accelerate our market penetration and innovate to deliver premium technologies to meet the underlying demand trends that are enhanced by the ongoing trade challenges. 2024 was a year of transformation. Shareholders demand the change. With new leadership in place, we are delivering change, focusing on disciplined fundamentals. First, customer-driven services and innovation. This means we exit noncore products and strictly focus on products capable of making high performance, high-value superior parts. Second, pursuit of best-in-class financial metrics. This has already helped us reduce OpEx by over $20 million in annual savings from the organic Nano business. Third, we are bringing our products and financial discipline to how we think about further investments. I've spent the last several weeks visiting nearly every site across the company as well as those of Desktop Metal and Markforged. I've met with countless colleagues at all levels of the organization, and I'm impressed by the talent and domain expertise across the board. I have participated in multiple products and go-to-market reviews, and I've gained insights into where we can grow, reduce costs, and unlock greater value. Most importantly, I've been energized by our technologies differentiation, our unique capabilities and our passion for the creation of cost-effective, high-performance, high-value, superior parts. This has only increased my excitement in our future. We are at the point of transformation with the changes already in motion to unlock our full potential. In summary, we transformed Nano, and now we are scaling that success. We only began executing our transformation in January. We emphasize capital discipline and product liability. We've reduced annualized operating costs of our core Nano business by $20 million. And we are applying that disciplined investment approach to Desktop Metal and Markforged. Before getting further into those details, Assaf will provide you with a recap of our 2024 results.
Assaf Zipori: Thank you, Ofir. Looking at our results, revenue reached $57.8 million, up 2.6% year-over-year. Adjusted EBITDA loss improved by 35% to $65.2 million. Net cash burn declined by a factor of 3.6%, excluding the impact of the buyback. We also finished the year with $845 million in cash, cash equivalents and marketable securities. I would also like to share preliminary Q1 2025 financial highlights. Revenue was $14.4 million, which is 8% higher than Q1 2023. Cash, cash equivalents and marketable securities were $840 million as of March 31, 2025. Again, these are preliminary estimates. Actual results may vary. Furthermore, our Q1 2025 results do not include our most recent acquisitions, which closed in Q2 of 2025. Now looking at our sales. Despite a Purchasing Managers Index of PMI below 50, a bearish macro indicator, we posted positive sales growth. That is meaningful. As sentiment improves, we are positioned to capture more upside, especially with our refocused strategy. This is further supported by a global trade policy that is forcing manufacturers to take a hard look at their business and supply chains. Nano Dimension is well positioned to assist. In looking at our operating expenses, we began to lower operating expenses and will continue to drive efficiency. This isn't just about innovation. It's about doing it right, no more bloated teams or unchecked spending, efficiency matters. We have already made big changes and we don't plan to stop. Shareholders asked for change and leadership is delivering. It starts with disciplined leadership that prioritize for practice and trust with investors. We employ a disciplined strategy that is synergistic. No more sporadic acquisitions. We executed to a disciplined operating model where each capital allocation and cost line is measured against best-in-class metrics and must face uncompromising scrutiny and ROI justification. And finally, disciplined forecasting that helps investors understand our accomplishments, risks and outlook. We have assembled a Board and management team that have common shared values and deal to be a profitable, highly disciplined, customer-focused organization. Julien, please share our transformation framework.
Julien Lederman: Our playbook has four steps: assess, transform, invest and grow. We evaluate every area of the business through this lens and only invest where there's a clear path to profitable ROI-driven growth. In looking at the pillars of our assessments, we assess product lines and the operating model. Every offering must have a competitive advantage and be a category leader and have a defensible position against low-cost competition, particularly from the Far East. These products must have growth potential and certainly in ROI for shareholders. We come through our operating model, challenged excessive G&A and management overhead, broke down silos, especially in sales and marketing, and realign the organization around the customer. We overhauled our structure, less hierarchy, more execution, faster innovation.
Assaf Zipori: During our first quarter on the job, we acted visibly, staying true to our vision. We exited Admatec, DeepCube, Fabrica and Formatec. We refocused the product road map and go-to-market of our printed electronics group, AME and surface-mounted technology group, Essemtec. We realigned our go-to-market around the customers, regions of operations and customer cultures. This is coming after a disciplined, data-driven reduction in management, G&A and marketing. Importantly, this did not sacrifice revenue. Discipline and focus are paying off by reducing our operating expenses by $20 million annually from Q4 onwards, while also increasing our revenue per employee from $147,000 to $223,000. This is a 52% gain for our core business from chaos to control. In summary, we're shifting from chaos to discipline. Our cost reductions came on the back of three principles: one, clear strategy and focus on differentiated high-performance, high-value, superior parts; two, synergizing fractured structures resulting in three, formerly a bloated cost structure now materially reduced. About Markforged and Desktop Metal. We're now looking critically at Desktop Metal and Markforged. Each company has its challenges. Markforged has its share of operational cost issues that must be addressed. But I would like to focus on the elephant in the room, Desktop Metal. We were required by the Delaware court to close Desktop Metal acquisition and we honored that obligation, paying out nearly $180 million to Desktop Metal stockholders. We have commenced our ongoing strategic review of this investment. It should be clear to anyone looking at Desktop Metal's situation that the company has very limited liquidity and significant liabilities, including $115 million in outstanding convertible notes, all incurred prior to our acquisition. As the notes indenture requires, Desktop Metal is offering to repurchase the notes by June 11, 2025, for the principal amount plus accrued interest. Desktop Metal does not now have the liquidity or financing commitments necessary to make that repurchase or satisfy other material liabilities, liabilities that are obligations of Desktop Metal, not Nano Dimension. As has been announced, Desktop Metal is running its own independent process to evaluate all of its available strategic alternatives to address its liabilities and liquidity needs. Desktop have engaged its own advisers to assist in this process and added an independent director to its Board. While we have provided limited secured financing to Desktop Metal to help address its short-term liquidity needs and allow it to run its strategic process. We can't give any assurances about the outcome of that process or our consideration of whether or not in what amounts to provide additional financing. As the Desktop Metal process continues, we will respond consistently with our guiding principles, maintaining our financial strength and limiting investments to opportunities that drive profitable growth and increase margins. We expect to have additional clarity regarding the desktop process by the end of June.
Julien Lederman: We remain committed to keeping you closely informed on the progress of your company. Our strategic assessment is well underway and will remain an active focus. As this work advances, we will continue to provide shareholders with clear updates on our strategy and path forward.
Ofir Baharav: I want to close with a reminder of what excites us so much. We are primed to meet the digital manufacturing sector. We have tailwinds supporting us as customers require rapid manufacturing, reshoring, supply chain resilience, IP security and sustainability. We're focused on the right places, market leading systems for high value, high growth, superior parts. We are concentrated where we need to be, serving key sectors, aerospace and defense, automotive, electronics and medical. We are managed responsibly. We have a strong capital base that enables us to think long-term, allowing us to act strategically. In closing, I would like to leave you with one thought. Solving the manufacturing challenges of advanced complex parts matters. It matters in aerospace and defense, it matters in automotive, it matters in electronics and it matters in medical. This is what we do best. We now have the most advanced array of technologies and the scale for vast R&D sales and G&A synergies. And with focus and discipline, we have the foundation for growth and value creation. If you believe the world needs advanced manufacturing solutions for complex superior parts, your company is in the right position to lead and create value for shareholders. With that, we're happy to take your questions. Thank you for your time and continued support.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question today comes from Greg Palm at Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Yes, thanks. Appreciate the time and thanks for taking the questions. I guess just digging into the strategic vision a bit more, maybe you can, expand on some of these priorities. I mean, are you going to be a company focused on growth or profitability? I know you can be both, but just kind of curious what the bigger focus area is, at least in the near term here.
Julien Lederman: Hi Greg, it's Julian here. Thanks for the question. As we're trying to consistently say, because it's consistently what's driving us, we have to be focused on growth and profitability. It is really that duality. It's balancing those two constantly. It's focusing on the technologies that we feel can grow, but not just growing because we're pumping a lot of sales and marketing dollars into it, but because it's a technology that's really solving a problem and has future potential and all while we're doing that we'll manage it responsibly and make sure that we're managing the costs while we're trying to support the business to grow. And it ultimately has to be on the path to delivering profitability. It is really about that duality. We have to acknowledge we're in a different market environment than three, four, five years ago. This is the environment that we're in and we need to build a sustainable business. Not just sustainable in the green sense, but in the business model sense. And that means we have to be profitable.
Greg Palm: Yes, makes sense. And as you look across your portfolio of assets today, I mean, what do you think gives yourself an advantage under this, this whole digital manufacturing opportunity? Is there anything, missing, whether that's certain technologies within additive, anything outside additive, specifically?
Julien Lederman: Another good question, Greg. Thank you. I think one of the things that gets us the most excited here is software, is the software that brings it together. I think the future of this industry will be not all that dissimilar from the 2D printing industry, where the printers became somewhat in the background. And it's about the software I would like to highlight. I think all companies, Nano and Markforged have great software, but Markforged particularly has a great software platform. And we knew about it before. We've learned a lot more about it since we've been one company. And we're really seeing opportunities in leveraging that software platform in ways that we already know are pretty exciting. And we think those will hopefully translate to results in the not too far future.
Greg Palm: And that was going to be my last question. It was segueing into Markforged, but curious if you can just sort of comment on what the potential synergies would look like either on a cost or revenue side, assuming that stays in the portfolio.
Julien Lederman: Sorry, Greg, can you say the question again?
Greg Palm: Yes. Can you comment on the synergy potential with Markforged both on a cost and a revenue basis, assuming that stays in the portfolio?
Julien Lederman: Yes, we're not, at this point, we're not going to put financial numbers on the synergies as we're still really, really diving into the business. But at the end of the day, we focus a lot on the same customers. We are driven by this software first idea. There is just a ton of organizational synergies to really achieve here. So we're going to be working hard on that.
Greg Palm: Okay, I will leave it there. Thanks.
Julien Lederman: Thanks, Greg.
Operator: Thank you. And our next question today comes from [indiscernible] at Smallcap LLC. Please go ahead.
Unidentified Analyst: Good afternoon, everyone. Appreciate all the insight and the new direction of the leadership and the vision. Obviously, for long-term shareholders who are part of the past regime. The elephant in the room is the share price. I know you guys don't -- didn't have control over that, but many of us, including our firm, we're deep underwater. Full transparency. We're in about $6, down a couple of $1 million. We're in negative enterprise value. Our forecast stock should be around $6 to $8. How do we get investors, Israeli firms, other capital firms to start reinvigorating and get excited to invest at stock at $1.50? It's horrible at this point. So how do we get that excitement back into the company? It's great for all these things that you say, we're all for it. But without that momentum and without that vision that you guys want to put out there and you get that message out to a broader class outside of retail and small capital firms like myself, we're going to be stuck in this area. So how do we get big investors excited about this? And then my second question is scaling up, how do we get the message out to the EV industry, to the medical industry, where we can start to get large costs from those Fortune 100 companies kind of get that day-to-day business, those large orders that repeat business that keeps on funneling the pipeline as you wish. And then third question, DQ and the other noncore, was there any talk about trying to sell them off or there was just no value in there, wasn't even worth the time. So I appreciate everything you guys do and hope you guys can turn everything around for our shareholders. Thank you.
Julien Lederman: Jeff, thank you for the question. And there's a few questions there and particularly appreciate your first one and concern there. I want to highlight, first and foremost, that we are all shareholders and we're very much lined in where we want the share to go. But to answer your first question about how do we get it up. Before I get into anything technical, I want to say it's about reestablishing trust. We have been on the road with shareholders since the Board changed over and a new management team came in. And it's safe to say that many shareholders almost all very vocal about a loss of trust and the need to restore it. And we are doing that, and we'll continue to work on that. It's a constant effort, and we do not take that for granted, and we'll be ever focused on that. And to do things like that, it requires being transparent, providing clear milestones, hitting those milestones being very open when something hasn't worked out, and we are committed to doing all of those things. But with that said, and still on that question, our company is an exciting point of transformation. We think much of the market is just coming to learn from days like today what we have done. We have focused on certain products. We have moved away from others. We've reduced G&A. We've been super critical of management overhead, and we have improved organizational efficiency. This is how already in the last few months, we've reduced OpEx by $20 million. And I want to say there's certainly more to do, Jeff. We're busy diving in and we're finding more to do. And I'll close on at least on this question, after reviewing our business as much as we have recently, we are optimistic about our technologies and the future prospects that they have. On to your second question about getting repeat customers and big customers. I will say we have many of those same customers, and we are, yes, I would say, focus on deeper penetration to them and expanding the list of those kind of Fortune 500 and equivalent global companies. I think Markforged here presents an interesting opportunity in the fact that they have an installed base of 15,000 systems. That means they have many, many customer relationships that are now Nano Dimension customer relationships and we can leverage those as a strategic platform to grow our business. We're definitely thinking like you are, the bigger customers with repeat business. And now, frankly, we have more products and services to sell them, and that has its advantages. On your point about the discontinued businesses, we did look at divestment opportunities on all of them, right? That is our responsibility and our interest to shareholders to do so. After running processes there, we found that there wasn't an opportunity to do so, and we ultimately had to make a decision what is best for our shareholders. And I think we were very convinced that the best thing to do was discontinue as soon as possible after running that process. I hope I answered your question.
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions] Our next question today comes from Jamison Lyngstad with Whitebox. Please go ahead.
Jamison Lyngstad: Hey, gentlemen. Thanks. Thanks for the call. Sorry if I missed it. Did you give a pro forma cash number, a current cash number adjusted for all the acquisitions?
Julien Lederman: No, we did not provide that at this point.
Jamison Lyngstad: Okay. And you can't provide it today? Or are you just not ready to?
Julien Lederman: Yes. That's correct.
Jamison Lyngstad: Okay. Perfect. That's great. Just thought I would ask. And then I'm a bit curious on -- and I know you guys are undergoing a strategic review. But with regards to your approach to Desktop Metal, are you guys -- is it in the end, preliminarily speaking, not finding value in the assets that are there. I mean, I understand you guys have acquired the business and set the check out right to the shareholders, but you guys are going to -- there's a liability there. Is it that you're not finding value there or you're not -- you guys going to sell the assets that you just acquired? Is there any sort of preliminary thoughts around how you're going to approach that?
Ofir Baharav: So a few things to say here. Thanks for the question here. As we've noted, Desktop Metal has limited liquidity and significant liabilities. So that's something that should be called out. And these were incurred prior to the acquisition. Desktop Metal is also -- they are running their own process. They have their own independent director and they have their own advisers, trying to work through this process. Ultimately, we have to respect that process, maintain its independence and we're waiting to see the results and see where we'll go from there and where they'll go from there.
Jamison Lyngstad: Okay, understood. Thank you.
Operator: Thank you. And this concludes our question-and-answer session. I would like to turn the conference back over to the company for any closing remarks.
Ofir Baharav: Thank you, everyone, for joining us today. This is Ofir again. I hope that having listened to us today or have communicated clearly to you our commitment to profitability, our commitment to a strict focus and discipline where we are planning to take this company. We believe we have the technology hardware, software, the machine learning and the material science to become a dominant player in the field of manufacturing of superior parts. We just finished conducting regional reviews of our sales around the world, and we are encouraged by seeing how -- and it was one of the questions that was asked today, how our focus on the most strategic customers in the world, in the defense, in medical, in automotive industries is delivering a return for us and is allowing us to not only lower the cost of sales. But also accelerate the penetration and increased utilization model of our machines. This will take time. It's a transformation, but we're seeing the yield. With that, I want to thank everyone for today's call, and I look forward to speaking to many of you in calls over the next week or two. Thank you very much.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending Nano Dimension's quarterly earnings conference call. You may now disconnect your lines, and have a wonderful day.